Dan Olley: Hello, and thank you for taking the time to watch Hargreaves Lansdown's 2024 H1 interim results. I'm Dan Olley, Chief Executive Officer at Hargreaves Lansdown, and I'm delighted to be joined today by Amy Stirling, HL's Chief Financial Officer. In terms of agenda, I'll give you a quick summary of our progress year-to-date before handing over to Amy, who will talk you through our financial performance in more detail. I'll then share with you my more detailed observations of the business now I'm 6 months in; the challenges and the opportunities we see ahead' how we have evolved the strategy to drive the business performance; and our progress against the initial 4 priorities I laid out 6 months ago. So looking back at the first half of the year, we've delivered a resilient set of financial results with revenue at £368.2 million and underlying profit at £221.5 million, a year-on-year increase of 5% on both revenue and profit. As a result, the Board are announcing an interim dividend of 13.2p, in line with our previous guidance. Our AUA grew by £8.3 billion through the period to £142 billion, and we welcomed an additional 20,000 new clients onto our platform. In terms of net new business, we continue to see strong inflows into the business through our H1, but these have been offset by higher outflows resulting in a subdued net new business of £1 billion over the period. While external factors have undoubtedly played a part in the slowing of net new business, there is also more we can and must do to accelerate our client and asset growth. During my first 6 months, I've been undertaking a business-wide review to understand all aspects of HL. This review is now largely complete. The 4 priorities I laid out last September continue to be the right ones, and I'm pleased we are making tangible progress against all 4, including building a strengthened leadership team; measurably improving our client service; and simplifying and accelerating our technology road map and strategic delivery. I will share more on our progress today, but before I do, let me hand over to Amy to go through our H1 financial performance in more detail.
Amy Stirling: Thanks, Dan, and good morning, everyone. As Dan highlighted, we've delivered a decent first half financial performance with revenue up 5% driven by an increase in AUA and NIM, and underlying profit before tax is also up 5% year-on-year. Underlying costs are up 10%, in line with our guidance, and finance income has benefited from the increase in base rates seen in the period, generating an overall underlying profit before tax of £221.5 million. Diluted EPS came in at 34.6p, a 3% reduction on prior year, as we see the impact of the rise in corporation tax rate to 25%. Looking at our financial performance then in a little more detail. Strategic investment cost has increased to £21.7 million in the period as we increased our delivery pace and continued to build momentum across our technology program, and I'll go into that more in detail shortly. As Dan covered in his summary, he's carried out a detailed review of the business during his first 6 months, which is now largely complete. And that review included a detailed consideration and simplification of our forward technology road map. And as a result, we've taken a £14.4 million impairment charge in the period against 2 specific technology projects that we are no longer pursuing. We've also incurred £2.9 million of one-off spend as a result of executive and leadership changes, which Dan will cover in more detail. As a result, we've seen a reduction in statutory PBT of 8% year-on-year to £182.5 million. And coupled with the increase in tax rate, statutory profit after tax was £135.2 million for the period, generating statutory diluted earnings per share of 28.5p. Given the underlying health of the business, the Board have declared an interim dividend of 13.2p, up 4% and in line with the guidance given in our full year results in September. So let's have a look at our revenue growth in a little more detail. Average AUA for the period was £136 billion, up on £127.1 billion in the prior period, reflecting both positive market movement and new business flow into active savings. Funds revenue was up 2% at £120.4 million, with modest margin compression, and revenue from shares, which comprises both stockbroking commission and equity fees, was £72.4 million in the period, up 3%, albeit at 28 basis points of margin at the lower end of our guidance range, reflecting lower dealing volumes but with a greater U.S. mix given the strength in U.S. markets. Revenue from HL Funds reduced 3% year-on-year as although average AUA increased to £8.8 billion during the period, it is at a lower margin as we see the mix impact of newer, low-cost funds coming through. On to cash. Firstly, net revenue earned on cash held in investment accounts was £132.8 million, up 9% on the prior year, albeit down on H2 FY '23, with net interest margin of 216 basis points reflecting higher market rates on average cash AUA, and I'll come back to all things NIM shortly. Active Savings revenue more than doubled in the period to £8.5 million as average AUA grew to £8.6 billion, and we achieved 20 basis points of margin. Given the scale of the Active Savings product now, we've been focused on improving commercial terms and adding more banks to the platform, with 5 being onboarded during the first half of the year. So on to costs. Underlying costs for the full year were £161 million, an increase of 10% over the prior year and in line with our guidance. People costs are up 10.7%, reflecting the annualization of head count growth, wage inflation and an increase in our help desk and operations teams as we focus on returning our service levels to the high standards we expect to provide to clients. Activity costs, which comprise dealing, payments and marketing costs, have increased 9.8% to £21.2 million, with a number of moving parts. Deal volumes are down, but as mentioned earlier, we're seeing a higher overseas mix in trading and therefore, a higher cost. The number of payments processed in the period increased as new money onto the platform has increased year-on-year, and we're now seeing the benefit of new payment options being available to clients, improving the client experience and delivering cost savings during the period. Marketing spend is broadly flat year-on-year. As expected, our technology spend stepped up in H1 to £24 million as we start to stand up new tech capabilities, introducing new functionality across the business as part of our technology build-out as well as seeing the impact of inflation still coming through this line. Support costs were broadly flat year-on-year but reduced overall as a result of the provision for dilapidations that was taken in the prior year. And we received a small balancing credit in our FSCS levy in the first half, taking overall underlying costs to £161 million. Moving on to look at the balance sheet. Net cash at the half year was up £33 million and shareholder funds increased to £713.5 million. Our regulatory capital requirement has increased to £262.5 million during the period as a result of AUA growth including Active Savings and an increase in our self-assessed risk capital held as momentum builds in our technology program, resulting in an estimated surplus to our regulatory requirement of £267.8 million before adjusting for an appropriate management buffer. So that sets out our financial performance for the first half of the year. But before I hand back to Dan, I wanted to cover off 3 specific areas of focus that I mentioned earlier: platform cash and NIM; strategic investment spend and our capital management framework; and also to update on our guidance for the full year. We recently completed our response to the FCA's Dear CEO letter on platform cash, confirming our approach to retained interest earned on cash held in client investment accounts. In respect of the FCA's key findings, of those platforms that retain cash, they retain on average 50% and 61% also charge for cash on the platform, a practice known as double dipping. At HL, we retained 40% of interest in Q2 and expect this to be around 36% in Q3. And we do not charge platform fees on cash, i.e., we don't double dip. The FCA also flagged an opportunity for platforms to improve the quality of disclosures to consumers on retention, and we are making further changes to our website content navigation and our Ts and Cs to improve visibility for clients. We consider cash to be an integral part of the way clients use their investment accounts, either holding cash as part of a portfolio or as part of the running of a product, for example, making payments or receiving dividends. We provide administration across all investment accounts and access to the full service where the clients hold just cash or cash and investments at any point in time. And as such, we set the level of pass-through with reference to the nature of the individual product, e.g., Junior ISA or a SIPP and the client outcome considerations linked to that product. Our rates per account are competitive in the market relative to other platforms and also in relation to high street bank easy access savings accounts, with our latest rate changes sharing an annualized benefit of more than £20 million with our clients. We've seen the level of cash held in investment accounts continue to come down as expected, with cash at 8.5% of AUA at the end of the period. And as we look forward through H2, we see platform cash on a glide path to around £11.5 billion with different profiles in Q1 and Q2 given the expected step-up over tax year-end driven by inflows. Dan's review has already resulted in a change to the way the technology teams are structured. We've introduced new ways of working in our large cross-functional change programs and have rationalized our approach to vendors, particularly in the technology space. All of these changes allow us to increase the pace of delivery and gives us increased confidence in delivering our overall program of planned change within the guidance of £175 million of investment spend and £50 million of dual running costs. We are now into the second year of this 4-year investment program and have incurred £99.8 million of spend to date with £125 million remaining. And as a result, we are well underway with progress now being made across all areas. The majority of core programs have now commenced. Our first robotic processes are now up and running and new tooling is starting to be used by colleagues right across the business. We will measure our success from the significant investment we are making in the business through: AUA growth; through creating operating leverage enabling us to continue to invest in our client value proposition; and through delivering sustainable operating margins in the medium term. As a Board and with our new Chair, Alison Platt, we've now set out the capital management framework for the business. Our first priority is to maintain a robust balance sheet, holding an appropriate management buffer above the regulatory minimum. We will continue to invest in the business to both maintain and enhance our platform capabilities. And looking further forward, we would consider the selective deployment of capital for inorganic investment where that accelerates delivery of our strategy. We absolutely recognize the importance of shareholder returns, with cash distributions to shareholders primarily driven through our progressive ordinary dividend. And whilst we complete our strategic investment program, which impacts our earnings, we will continue to give specific ordinary dividend guidance on an annual basis through to FY '26. And in terms of other capital returns, as the Board assesses that surplus capital is available for distribution, it will be returned as part of our full year cycle, with a specific mechanism for any return being determined at that time, and we will provide a further update as part of our full year results in August. So in terms of our guidance for the full year 2024, it is broadly unchanged, but a few areas to cover off. In terms of revenue margin, given our H1 performance, we now expect to be at the top end of guidance on NIM and Active Savings margin and at the lower end of the range on shares given continued muted dealing volumes. Fund margin guidance is unchanged. In terms of underlying costs, our latest view on FSCS levy indicates that we will not now see the uplift we had anticipated this year. So we're expecting full year cost growth at the lower end of our 9% to 11% guidance. Given our increased momentum, full year strategic OpEx spend is now expected to be at the top end of our guidance for the year, and we continue to guide to full year ordinary dividend growth of 4%. I'll now pass back to Dan.
Dan Olley: So let me take a look through the first 6 months at HL. There is no doubt in my mind that I've joined a really great business. I've met with many great colleagues, and what comes through in every conversation is a strong sense of purpose and a true focus on serving our clients every day. I'd like to start by thanking everyone at HL for their hard work, for making me feel so welcome and for embracing the change that we have started to deliver throughout the business. HL is one of the most client-centric organizations that I have worked in and it really shows in some of the externally published statistics that we monitor. For example, we are the #1 rated platform on borrowing money and we've received 3 of the best-of awards from Platforum. Our retention rate, which unlike some of our peers, is based on clients with over £100 in their account, stands at 91.6%, with over 60% of D2C platform clients choosing us as their primary provider according to Boring Money. This relentless client focus helps us drive our scale. With over 1.8 million clients and £142 billion of assets under administration, we offer our clients 14,000 investment options and have seen over 121 million digital visits in the last 6 months. Headquartered in Bristol, HL now employs just over 2,400 colleagues and our gender diversity across our senior leadership team has increased, with over 1/3 of the roles now held by women. In line with our client focus, nearly 80% of our colleagues were favorable or very favorable to the statement HL puts its clients first in our latest colleague survey, and our client service team handled 650,000 client calls in the first half of the year. So in summary, we really are a purpose-driven business with strong fundamentals and a client-first culture. We are also operating in a large and growing market where client needs are very clear. As I said, we have over £142 billion of assets under administration, but the overall active personal pension market is worth £1 trillion. Add in savings and other financial instruments, and we believe by 2026, we will have a £3.7 trillion addressable market. So there's definitely plenty to go after. And it's not just that this is an attractive market to operate in. There's a compelling need to as well. In our recently published research called the Savings and Resilience Barometer, we found that only 13% of households are on track for a comfortable retirement, with the definition of comfortable coming from the Retirement Living Standards. That is £37,300 for a single person and £54,500 for a couple. It's also troubling to learn that according to the FCA, the 1/3 of the U.K. population have less than £1,000 worth of savings. This is why helping people to save and invest for a better future is absolutely at the heart of our business. As Amy said, I have spent a significant amount of my first 6 months at HL gaining a deeper insight into the business, meeting people and using data to really understand the performance of our business. We have a powerful platform with strong gross inflows relative to any of our peers. So we start from a position of strength across the wider sector. However, there are areas that need improvement as the charts clearly show. Whilst we are growing net new business, the growth has been slowing over some time. What is also clear is that our client retention, whilst strong and in line with peers when calculated in the same way, has been slowly decreasing over the same period. I will share insights into the drivers of this in a moment. Finally, there was a need to invest in the underlying cost of our business to ensure long-term sustainable growth, but the business has seen its costs grow faster than revenues, which is unsustainable. These are issues that we simply must address. So while we are a large and growing business with great fundamentals, the time is now for us to acknowledge there is work to be done to reposition ourselves to seize the opportunity ahead and to accelerate our growth in a more efficient manner. So how are we going to do that? Well, it always starts with a deep understanding of the client. And we have done a lot of work looking at our clients, looking at their behaviors, what they do on our platform, who joins us, where from and who leaves us and why. We've maintained strong inflows through the period. And as you can see from the top graph, our gross inflows have been growing over the last few years. However, what is also clear is that the product mix of our client base is weighted towards ISAs and fund and share accounts, with only 31% of our AUA in our SIPP products. Understandably, in more transactional products, the assets are less sticky and have a very different withdrawal profile. They're designed for different client needs. The majority of cash off the platform goes out in the form of withdrawals. And as you can see, the profile of withdrawal is quite different by different product, with our more flexible products like savings and Fund & Share account, seeing the highest percentage of withdrawals, ISAs being lower and the SIPPs being the lowest. We've seen a step-up in transfers out to banks and building societies to take advantage of cash ISAs, particularly from our stocks and shares ISA. This is why I'm so pleased we launched the Cash ISA last year and then extended it with a new Multi-Bank Cash ISA last month. We are the only platform in the U.K. to offer a Multi-Bank Cash ISA, giving our clients the opportunity to spread their cash across multiple rates and terms while still managing their balances below the FSCS threshold from a single account. Analyzing ISA withdrawals further, it's our clients with the smaller accounts that have had the higher level of withdrawals as the rising cost of living impacts them most. These insights have informed the evolution of our strategy from the one that was laid out 2 years ago. So let's start with our purpose. Why do we exist? Fundamentally, this hasn't changed. We're here to make it easy to save and invest for a better future. Given this purpose, what are we actually going to do? What is our strategic ambition? This has evolved in places. So let me take you through that. Firstly, transforming the investing experience is something we said 2 years ago and that we must continue to do. We know not enough people are engaging with investing. And those people that do, don't always find it easy. We need to address this efficiently and at scale. Secondly, is our renewed focus on leveraging our economies of scale to continuously improve the client value proposition. By doing this, we can attract more clients, generating even more scale, which further lets us share the benefits with our clients, and through this growth, return value to shareholders. For me, this is the fundamental flywheel of our company and a discipline we must embrace. And finally, making it easy to save and invest for a better future means offering a great digital experience but having knowledgeable and accessible colleagues available whenever clients want to talk to us. I have a digital background, but even I don't believe that this is a digital-only proposition. And so we will continue to combine the best of our colleague and digital capability to give our clients a great experience, however they choose to engage with us. So how are we going to deliver these strategic goals? I've heard from many stakeholders that our strategy, while sensible, was never as tangible as many people would have liked it to be. So let me try and make it more specific. Let's start with helping clients build their confidence. We know many people have put off investing for the future because they don't understand it or don't have the time or inclination to want to understand it. We want to build their confidence by giving them the right information, knowledge and guidance in the right way at the right time. This has always been the foundation of our company and so we're building on a great heritage. We also know people are time poor, and this is why we must make it easy for our clients to interact with us and execute. And with 1.8 million clients on our platform, we need a broad choice of savings and investment solutions for our clients. We will continuously strive to be fitter, leaner and more efficient so that we can make savings that we can then invest for the benefit of our clients, and ultimately, our shareholders. This is the philosophy between our save to invest program, which we launched a few months ago. And finally, we have great people and a strong client-focused culture. We will further strengthen our talent, increase our focus on performance and empower our colleagues with great tools so they can provide that human touch to all our clients, but in a way that is scalable and efficient as our client numbers continue to grow. The words are great. But as John Doerr says in his famous book, "Performance comes from measuring what matters," so how will we measure our progress? Client satisfaction and retention, AUA growth, operating leverage, our operating margin and our colleague engagement are all key measures to ensure that we are delivering for clients, for colleagues and for shareholders alike. So where do we start? How do we get this flywheel moving? Well, it all starts with the 4 priorities I laid out a few months ago. We must continue to evolve our value proposition to delight our clients, and through that, drive our growth. We must build our safe to invest muscle. We must increase our execution pace so that we deliver for our clients and improve our proposition on an ongoing basis. And finally, we must have the right people in the right roles to deliver our strategy. So let me talk through how we've been making some progress in all of these areas. Firstly, delighting our clients to drive growth. As I've already said, we hear loud and clear from our clients that they're daunted by saving and investing. The terminology can be confusing and execution is often difficult. Then, when they do start to invest, they want everything in one place, not having to jump between providers and accounts. This is why helping our clients build the confidence to save to invest, making it easy to do so and then giving them the broad choice so they can do everything when they want on one platform is at the heart of our value proposition. Based on our client insight, we are initially focusing in 3 key areas: one, continuing to deliver strong inflows by building investor confidence through targeted content and making it easy through frictionless digital flows to drive new client acquisition and AUA growth; two, enhancing our client experience by resetting our client service levels and enhancing our digital experience to make it easy to execute with HL; three, evolving our product mix by expanding our proposition and our digital features to drive client retention, acquisition and ultimately, AUA growth, especially in our Active Savings and pensions propositions. Let me double-click into a few more detailed examples for each of these. Content-driven flows will bring new money onto the platform. In September, I explained how we had run an experiment with gilts to make them clearly understandable and relevant to HL clients and then to make it easy to execute for those that wanted to do so. We have now seen £1.8 billion of inflows into gilts, experienced the first large-scale maturity and seen a significant percentage of clients reinvest into other gilts. We have definitely built people's confidence investing in the U.K. gilt market. Our recent five to watch content has driven over £100 million of inflows in the first few months, and we recently launched a pilot of HL's Academy with our Investment Masterclass. We will be closely measuring the results of this as we believe financial education is something that should be available to all. Frictionless flows will also bring new money onto the platform. We launched a pilot of our Easy Bank Transfer journey last year in the app, and we have now extended that feature to all of our products. And this has delivered over £1 billion of top-ups through that mechanism since launch. Not only is this a better experience for our clients; it significantly reduces the cost of bringing new money onto the platform. We've also made improvements to our regular savings functionality in the app and saw almost £0.5 million of new regular savings instructions set up in the app in January. Our focus on client experience will improve client satisfaction and retention. We're resetting and transforming our client service for those clients that want to speak to us directly and enhancing and extending our digital experience. As I said when I stood up 5 months ago, our client service performance simply wasn't good enough. We've since filled all our help desk vacancies and enhancing the tools and training available to colleagues, resulting in an 11 percentage point increase in the number of calls answered within 20 seconds. In terms of the digital experience, we've been using our client journey analytics to drive improvements to the site navigation, and this has delivered a 20% improvement in conversion on the transfers-in journey. And simply making our ready-made investments more searchable on our search page has increased purchases by 51%. Evolving our product proposition and mix is aimed at attracting new clients to the platform and increasing existing client satisfaction and retention. Active Savings is a great example of the impact we can have through new product development. We now have £9.1 billion of assets under administration in Active Savings and continue to extend the proposition with innovative new products such as the Multi-Bank Cash ISA I mentioned earlier. A significant proportion of flows into Active Savings comes from clients who already know about HL or know about the product. So we've launched our first above-the-line marketing campaign to expand awareness of Active Savings and the key value it offers to clients, providing access to competitive rates across multiple banks while still taking advantage of the FSCS protection from one account. Our analysis shows that over 18% of clients who open a new Active Savings account as their first account with HL then go on to open another product with HL within a year. Another key area of focus is on how we enhance our SIPP offer. We've launched our new Ready-Made Pension Plan, which has already seen a strong uptake. Improvements in the SIPP-opening journey has seen a 70% increase in the number of clients investing on the same day as opening the account, and improvements in the website navigation has increased the number of people completing the SIPP-opening journey by 8.4%. So let's now jump to save to invest and really starting our flywheel. We've been looking across the organization at how we can be more efficient, more disciplined where we spend and ensuring all of the services we use are offering good value for money. We've started by rationalizing our IT licenses, our recruitment spend, our contractor spend and consolidating our suppliers and renegotiating contracts where appropriate. We're using technology to streamline and automate manual proceeds using robotic process automation, with the first of these processes going live last month and the next 5 due to go live by April. And we're undertaking a review of organizational structure and our operating model across the business, looking at how we can streamline our organization and align colleagues to where they can add the most value, for example, moving our help desk function to operate as part of our client team. We're also leveraging our scale to bring more value to clients. For example, we offer 66% of the funds on our Wealth Shortlist at a discounted fee with an average discount of 12 basis points. If we look across our top 100 funds by value, the discount is also 12 basis points. And because we're able to put each equity trade out to up to 25 brokers, we have found that on average we are able to save £18 per trade versus the spot price on the London Stock Exchange. A third priority is increasing our execution pace. We simply need to deliver all of the great things we're doing and planning to do faster. So what have we done? I've been involved in agile and lean methodologies for over 20 years, so we've piloted some new ways of working, establishing end-to-end teams by product line. This enables us to embed marketing and technology teams within the business units so they can deliver at pace. We've aligned our operating metrics and are trialing objectives and key results as a way to align our focus on outcomes, increase accountability and clearly measure how our teams are performing to ensure the investment we are making is delivering for our clients. Beyond the day-to-day activities, we've increased the discipline around having ring-fenced project teams so they can deliver larger strategic programs shielded from the day to day. So what's the impact been? While it's still early days, it's been great to see tangible progress in both the day-to-day activities and project execution. For example, the time line for the replacement of our legacy help desk telephony system to a new cloud-based solution based on AWS Connect was going to mean that we incurred significant dual running costs throughout this year. By ring-fencing the project team, we were able to collapse the project time lines and avoid £0.5 million worth of cost. By also resetting and ring-fencing our sales force implementation, I'm pleased to say that we've seen the first implementation for our help desk colleagues in only 4 months, well ahead of our tax year-end peak. For anyone that has been involved with a CRM project, you will know how fast this initial deployment is. We also continue to progress the evolution and modernization of our technology estate. Fundamentally, this investment sets out to do 3 things: delivering a state-of-the-art digital client experience; decoupling our cost to serve and client growth through automation; delivering a highly resilient and linearly scalable platform. As part of my business-wide review, we have been able to simplify the technology road map by adopting a more modular approach, leveraging standards and through the rationalization of our vendors. Amy has covered the impairment we have recognized as a result. This does not impact our ability to achieve what we set out to do and actually increases our confidence in our ability to deliver within the financial parameters set out. I've already talked about some of the client experience enhancements such as the new website navigation, the Easy Bank Transfer functionality and the self-service content platform. And it's been good to see the teams really picking up pace on our client delivery over the last few months. In terms of data and relevancy, the focus has been on setting the right foundations, implementing our AI workbench and our MLOps pipeline. This allows us to build AI-based models and then version control them and release enhancements to them. This is a critical path for anyone using AI seriously. Part of our continued focus on consumer duty, our data science team have also been researching the ability to build models to spot transient or onset vulnerability in our client base, for example, the early signs of gambling addiction or perhaps cognitive decline. I know firsthand how Alzheimer's can affect a person's financial behavior. I lost my father to this disease and so it's a project very close to my heart. And finally, being a data-driven person, I want to make sure that we have the data we need to drive this business at our fingertips. So we're progressing our new BI platform based on Snowflake that will be launched in the coming months. Moving on to decoupling our costs to serve from growth. I've already talked about the robotic process automation with UIPath and the rollout of Amazon Connect and Salesforce. These provide the foundations that we can now build on to increasingly automate our business processes while giving our colleagues the tools they need to provide a great client service efficiently. This is how we will decouple people and cost growth from our client growth. Last but not least is leveraging our cloud infrastructure to create a highly resilient and linearly scalable platform. Progress in this area has been positive. And while there is still more to do, the additional experience and capability that we have brought into this team is suggesting that the revised execution approach could well reduce our original multiyear estimates for completion. Finally, the right people in the right roles. I'm pleased to say we have made really good progress here. I'm excited that we're assembling a leadership team that I'm confident can deliver our strategy. So firstly, I'd like to welcome Lucy Thomas, our new Corporate Affairs Director to HL. Lucy will be responsible for working across HL with all our external stakeholders to ensure that HL shows up in the world in a compelling and consistent way, including lending our voice to get more people to save and invest. Lucy was most recently Corporate Affairs Director at TalkTalk and earlier in her career worked at Edelman, a top PR firm, and the BBC. Secondly, I'd like to welcome Afonso Nascimento as our Chief Strategy Officer. Afonso has actually been with us as the interim CSO for the last 4 months, helping drive our strategic agenda and our digital transformation initiatives. Afonso brings extensive strategy and financial service experience from Boston Consulting Group. And last but not least, I'd like to welcome Richard Hebdon as our new Chief Digital and Technology Officer. Richard was most recently at RELX, where he led a number of innovative technology initiatives, such as pioneering the use of AWS in 2008. Richard brings over 25 years' experience leading technology functions and digital transformation initiatives. And under Richard, we've also strengthened our technology leadership team. I'd like to welcome Mohammed Brahim and Matt Parkes to the organization. Mohammed was most recently CTO at Profile Pensions and brings 25 years of experience delivering and developing client-facing technologies and software. Mo leads our client-facing development work. Matt brings 24 years of experience leading digital and business automation with extensive experience using things like Salesforce, Amazon Connect and robotic process automation, very relevant for us. Matt was most recently at Elsevier, where he led their business automation function. Matt and Mo joined Dan Johnson, who has been with HL for 2.5 years running the day-to-day technology operations. I am delighted to have such a strong technology team in place to help drive our transformation. So in summary, we exist to make it easy for our clients to save and invest for a better future. We would do this by transforming the investing experience, leveraging our economies of scale to drive client value and combining the best of our colleague and digital capability. We're in a large and growing market and there is a real and urgent client need that we are obliged to try and help solve. We're a strong and trusted business with over 1.8 million clients and growing. That growth rate has been gradually slowing for some years. We acknowledge that. We understand why. We understand what our clients want. And we understand what we are going to do about it. Our clear focus is now on our service, our digital experience, driving our efficiency, increasing our pace of execution and delivering continual value to our clients, our colleagues and to our shareholders. And with that, thank you very much for taking the time to watch this presentation.
Operator: [Operator Instructions] Our first question today comes from Andrew Sinclair, of Bank of America.
Andrew Sinclair: Three questions for me, please. The first is just looking at Slide 12, and you've talked about measures of success and the importance of measuring. But really, just wondered if you can give us some actual numbers around those for what you're targeting as some of them have had some challenges recently. You spent £100 million almost [Audio Gap] spend, but net flows, client retention have deteriorated. So it's not great for the first couple of measures of success. Underlying costs, still going faster than revenue, so not great on the operating leverage. I think the message has been that we should still see some benefits as we're going along rather than waiting until the end. So what numbers are you expecting there? And when should we see those? So that's my first question. Second question is just on stock trading. For the last couple of sets of results, I think the number of stock trades has disappeared from the disclosure. And that meant I can't calculate revenue per trade. I just really wondered if you can give us the total number of trades in the period or likewise revenue per trade [Audio Gap] trades and revenue per trade is probably the best way to forecast [Audio Gap] AUM. And third question is just about the Dear CEO letter. Good to hear that you think you're kind of meeting everything. I just really wondered about the minimum cash balance. Do you think it's still appropriate to have something called a minimum cash balance in the world going forward post consumer duty and what's been [Audio Gap]
Dan Olley: Thank you for your questions. And yes, measuring what matters is really key to me, but I'm going to hand over to Amy, let her take your questions, if that's okay. Amy?
Amy Stirling: Andrew, so your first question about our measures of success, we're not giving medium-term guidance today. What we're doing is setting out how we are assessing and measuring our progress. And hopefully, you can see that we're being very transparent in all the different measures across our business. So we've got work to do here. We're not expecting these measures and these metrics to change overnight. And what you will hear us talk about more going forward is the specifics around those measures, but we're not giving medium-term guidance today. In terms of your second question on trading volumes. So splitting out by quarter, actually Q1, our share dealing volumes overall 634,000; and then into Q2, actually, we saw an uptick to 672,000. So modestly down versus where we were last year, but encouraging to see that trend moving up through the course of the quarter. And then your last question on Dear CEO letter, I think it's about the suggestions that we make on a minimum level of cash that we hold in the account, but it's a suggestion rather than a mandatory requirement. Thanks.
Andrew Sinclair: And just to come back to that first question on targets. I mean, you said it's so important to measure these. When will you give us some targets on some of these metrics?
Amy Stirling: Expect to hear from us in the summer, Andrew.
Operator: The next question comes from the line of Enrico Bolzoni from JPMorgan.
Enrico Bolzoni: The first one is on the cash margin. So you -- clearly, you said you're going to meet the high end of your guidance. But then, more interestingly, I wanted to ask about what's going to happen in future years. So you say that you're still confident you can achieve the range as long as rates stay above 3%. I'm just trying to frame this in the context clearly of the regulatory pressure. As rates start to fall or incrementally would start to fall, it seems tough to believe that the regulator would be fine with de facto, you or other platform retaining a higher proportion of the margin, which basically is what you're saying is we can assume that the margin that you can collect remains the same. So what is your thinking there? What makes you believe that actually the regulator would be fine with that? And related to that, I also wanted to ask, I mean, in the past, clearly you say that you gave us guidance and it was predicated upon certain level of interest rate, policy rate. So actually, the policy rate now has been stable for quite some time. But earlier this year, you pushed through some material increase in the remuneration on cash balances. Actually, I think they're one of the highest on the street. So I'm just trying to understand what drove that? Was it actually a regulatory concern? Or was it more a competitive dynamic that played a role? I'm just trying to understand what's your thinking there. My second question relates to potential cost savings. So clearly, you detailed a number of initiatives that are ongoing. So I'd just like to understand what sort of cost savings do you expect from these? Or actually, the main benefit of these initiatives is just to improve the quality of the service for your clients? And then finally, I wanted to ask you on excess capital. I mean, you mentioned that both there could be a possibility of using this excess capital for some M&A or potentially returning it to shareholders in some form. What is your thinking there? And specifically, if it has to be inorganic -- just for inorganic expansion, what sort of deals would you look at? And what sort of criteria you have internally to drive your decisions when it comes to inorganic expansion?
Dan Olley: Thank you Enrico. And look, your line was slightly muffled there. I think we got it all. I'll let Amy take the NIM. I'll talk a bit about the cost-saving approach, and then we can talk a bit about capital allocation, if that's okay.
Amy Stirling: So Enrico, so your first question about our framework on NIM. So I think you've heard me say before, we're really transparent about all things, cash, net interest margin and platform cash. We report our cash balances separately. We report our revenue separately. And we're very clear about our direction of travel. We've also talked about the fact that we have internal policies around how we set our level of pass-through. So that hasn't changed as a result of the consumer duty. We've done a couple of reviews actually since putting those policies in place and since consumer duty has come through. And we evidence our thinking internally through our governance around the way in which we deal with client cash. So the guidance that we gave before and have reiterated around expecting to see net interest margins stay in that 180 to 200 range is based and backed up by that internal policy and that hasn't changed. In terms of the policy rate's stable, but we've made some changes to our rates, absolutely. So you saw us increase a couple of rates on the 10th of January. That's driven by a couple of things. We made a conscious decision in the first half of the year to hold a higher level of short-term liquidity because of the level of cash movement that we were seeing on the platform. We expected that that would come with a bit of margin degradation and actually it didn't. And also, we have been able to be placing term deposits at higher levels than we originally had in our planning. And so that's given us the opportunity to share the benefit of that with our clients, and that's why you saw us pass through what will effectively be a £20 million annualized benefits to clients in January. Dan, did you want to talk about the benefits from our cost initiatives?
Dan Olley: Talk a little bit about costs. So Enrico, we're not giving medium-term guidance today, but let me talk a bit about how I think about cost. As I said, metrics are key to me. So those cost ratio metrics is something that I monitor very closely, so our cost defer. And really, there's 2 ways we're going to impact those. Number one, accelerating our strategic spend, you saw in the presentation that the middle chunk of that is about decoupling our cost to serve from our client growth. That's really critical to me. So using automation, standardization, simplification of our processes internally, so as we go forward and drive our growth, we are not driving our cost at the same rate. Looking more immediately, just bringing a renewed focus on cost discipline, our cost muscle. Amy and I have done a lot of work in this area, just bringing in some much tighter practices around cost approvals, head count approvals, as we talked about, reviewing contracts, reviewing suppliers, rationalizing suppliers. So this is all starting to come through. But it's early days. It's early days. I've been here 6 months. And so you'll see more of that. But this is why we're talking about coming in at the lower end of cost guidance this year.
Amy Stirling: I think you snuck in a fourth question, which was around capital and possibility for M&A through inorganic deals. Just to be super clear, we're only halfway through our major investment program in the business. So we do not have plans in the short to medium term for inorganic activity from an M&A perspective. But what we have done for the first time for HL is really clearly set out a capital management framework. That hopefully builds understanding of how we think about the use of capital for the business. And so that's why we have included that. At some point in the future, if we think it meaningfully accelerates our strategy and the delivery of our strategy, then that is a consideration. But it's absolutely not something that we've got on our radar in the short term.
Enrico Bolzoni: Sorry, so just a quick clarification on what you said before. Can you -- further, you say you managed to actually increase their cash remuneration because you extended a bit the maturity of some of the investments within the liquidity. Is that what you said, and you passed it on more to clients?
Amy Stirling: So #two separate points there, Enrico. The first is actually, the rates we were able to achieve on our shorter-term liquidity better than our planning and the rates we were able to achieve on our longer-term deposits better than our planning. And as a result of that, we were able to share that benefit with our clients.
Operator: The next question comes from Andrew Crean of Autonomous.
Andrew Crean: Three of them, please. Firstly, just carrying on, on that excess capital issue. I think your coverage ratio is 201%. Do you -- are you prepared to give us a sense as to what you think the reliable ratio is or how much excess there is? Secondly, HL Funds. I know during the original strategy plan, the idea, I think, was to grow from about 7% of total AUM to 20% of AUM. It's still down at 7%. And the net flows look as though they're modestly negative. Is there any hope that you will be able to use better guidance to increase the level of HL Funds' take-up within the platform? And then finally, on client growth. If I back out the Active Savings customers, I think your client numbers went down in the last year by 33,000. One of your competitors, Vanguard, went up by nearly 100,000. They've got a platform fee of 15 versus 45 basis points for you. Is there any sense that you need to review your platform fee to refire your client growth?
Amy Stirling: Andrew, thanks for your questions. So first off, so what we've done today on capital is to set out our capital management framework. We're not going to give a specific coverage ratio. What we're trying to do here is to really help build out that knowledge and understanding of how we think about capital and the possibility for a broader return going forward, emphasizing the priority for our growth of ordinary dividend. Dan?
Dan Olley: Yes, if I take HLFM. So Andrew, thank you for your question. So what we're seeing is on our new funds, we're seeing good early growth. They are very early. And as you saw, we're also changing our navigation, improving our navigation, improving the visibility of our fund options on our platform. And we're seeing that drive traffic and flows to those. Obviously, we've been very mindful that it's got to be a level playing field. So that's the other side of that. So that's up by 51% on our ready-made investment, I don't know if you call that. And then some of the legacy like our PMS system, that's still got a bit of outflow. So whether you look at HLFM in the round, that's what's holding it back. But I think as we see that sort of mature and we see the new funds picking up, and obviously, the market's starting to pick up, we're hopeful that we will see the accelerated growth there. If we go on to client growth...
Andrew Crean: Up to the 20% level?
Dan Olley: Not sure yet. Not sure yet. Early days. Give me another 6 months on that one, Andrew. And then if I look at client growth, so I'm not quite sure I understand the maths there. Happy to have a deeper off-line conversation. But a lot of our Active Savings clients also hold other clients -- other accounts. So we don't recognize that number. But as I say, happy to have -- better an off-line conversation about that and compare the maths.
Amy Stirling: So Andrew, it's an and with Active Savings rather than an or. Yes. So you can't back it out of the client growth.
Andrew Crean: But the core question was whether you think it's time to review your platform charge.
Dan Olley: Okay. All right. Sorry, missed that one. So look, when I came in, our #1 focus is on client value and looking at client value. And so I heard loud and clear about price, and by price, I think people are talking about the core platform fee and the core trading fee. And so a few things that I've found, few examples. So number one, as we highlighted today, we offer a significant number of funds on the platform with discounts. And actually, I thought well okay, I like to use myself as experiment number one. So I'll go and look at my portfolio and pick a couple of funds out. And I wouldn't name any of these, but I took 2 funds. I look to -- obviously, on our platform, you can go through and see the total cost, including the platform fee and the fund fee, and you can do that on competitors' platforms, so I picked one of our competitors, mainstream competitors, did it there. One of those funds was 4 basis points all-in more expensive on HL and the other one was 19 basis points cheaper on HL. So that's just an interesting fact. The second is when we looked at our trading, because of our scale, we're able to put trades out to up to 25 brokers. So we know that we're driving highly competitive prices through that mechanism. And the analysis we did showed that we were saving a client, on average, £18 a trade. This is on average because we looked across last year's trades, but on average, £18 per trade. So value coming back there. We've talked about the interest rates that we offer for clients who are keeping cash within their investment products. And on top of that, we also have Active Savings. So really competitive rates on Active Savings. We've extended that so that it could be in a wrapper with your cash ISA, and now this first-of-a-kind Multi-Bank Cash ISA, so value there. And then we're a full-service platform. If you go back to our purpose, we believe that's the right thing to be. So in its entirety, I'm confident we're offering clients really good value there. That said, we laid out very clearly in the strategy today and reemphasized it, we're never going to be satisfied with the amount of value we're giving our clients. So we're going to be looking at how do we further leverage our economies of scale, drive efficiencies in our business, take that and share that benefit, share those savings back with our clients. Now our headline fees, our headline platform fee and our headline trading fee are just 2 aspects of that we'll continue to continuously monitor. And as and when appropriate, we'll move them. We absolutely will move them. So that's how I'm thinking about it. That's the framework I'm using to think about it. Does that help?
Andrew Crean: Yes. No, that's really useful.
Operator: The next question comes from Panos Ellinas from Morgan Stanley.
Panos Ellinas: So my first one is around the key priority on client acquisition and growth. Just wondering if you see any additional levers to pull for accelerated growth, except for the investment intake and customer experience. I mean the pricing across the industry has been declined for some time now. So would you consider -- maybe that's a question you already asked, but would you consider reviewing the pricing maybe on platform fees or dealing fees? Or generally, shall we expect to see more frequent cashback deals to drive flows and growth? That's my first one. The second one is on the funds and HL Fund margin guidance, which is unchanged. Have you seen or do you expect to see further mix effects to drive the margins more towards the lower end of the guidance? And the third one is on the costs. What do you think is a sustainable cost growth post-2024 to drive the growth you want on the client side and asset side? Maybe one more, sorry. The fourth one is on the cash balances. You're guiding for around £11.5 billion by year-end. Can you give us more color on how to think of the cash balances from here? I have seen that the cash within the funds and shares is currently on only 5%. And shall we expect the cash can decline further within the SIPPs the ISAs, for example? Any color would be great. That's all from me. That's all for me.
Dan Olley: Actually, look, I think Amy and I will tag team on this on. If I take your first one on acquisition and flows and your third one on cost and over to Amy for the funds and the cash balance. So look, client acquisition, we've talked about what we're doing. It's a combination of driving our content-driven flows, our digital experience, the marketing. So you've seen all the things we're doing and we're continuing to double down on those and make sure we do them as well as we possibly can. In terms of -- right, so let me talk a little bit about flows. So actually, if I break flows down, our inflows this year have been really strong. In fact, they're up 17% year-on-year. And this really underlines that I think we do have a compelling proposition for clients. As I look at our outflows, it's our outflows have also gone up. And if I look at where that is, partly that's down to mix, our product mix. As we highlighted here, you can broadly go 1/3, 1/3, 1/3. So we've got 1/3 in SIPPs, we've got 1/3 in ISAs and we've got a 1/3 in unwrapped between fund and share and Active Savings. And as you would absolutely expect, those unwrapped, savings and investment buckets are the ones that clients dip into first when they want to take money out for the cost of living or pay down debt. And that's exactly what we're seeing. It's exactly what we're seeing. So it's partially a mixed point in terms of our outflows. It's partially self-inflicted. As I said, our service wasn't where we wanted it to be. We're seeing some good improvement in that. But we know through our analysis that that was trigger points for some clients to leave us, and we're dealing with that. And we also know that our proposition wasn't broad enough. So we saw a lot of our stocks and shares ISA withdraw or outflows going to banks to take advantage of cash ISAs. This is exactly why we listen to our clients. We extended Active Savings with cash ISA and the Multi-Bank Cash ISA to address that point. So I don't think we have an inflows problem today. And that would suggest that clients are still seeing our proposition as compelling. But we have some work to do on our outflows and we're absolutely on it. Amy?
Amy Stirling: Yes. So thanks, Panos. So in terms of your question on funds and HLFM margin guidance, So firmly in the range on funds, so no change there. In terms of HL Funds, our original guidance, 55 to 60 basis points, we were at 59 for the first half. The reason we've got that broader range is because our newer funds do come in at a lower margin as we've talked about. And so still expect to be within that range for this financial year.
Dan Olley: If I come back to costs, I mean, as I said, we're not giving medium-term guidance on costs today. But what I would like you to take away is we are absolutely focused on it. It's a key discipline and muscle we are building in the organization, and we should think about through this year coming in towards the lower end of guidance. And then we'll see how that flows through as we come back in August.
Amy Stirling: And then you also snuck in a fourth question on cash balances and how we should expect to see that going forward. So we've tried to set out what we expect to happen over the course of the next 6 months, so into the balance of our year-end. And obviously, we've got some interesting mix dynamic going on there. So clearly, as we run in towards tax year-end, we would expect to see more flow coming onto the platform. Interestingly, we're seeing clients invest faster. So cash not sitting so long in investment accounts or the evidence of why cash sits in investment accounts. It's there for our clients to use to invest. And so we'd expect to pick up as we hit tax year-end, and then we'd expect that cash to be deployed in relatively short order afterwards. So hopefully, that gives you a sense of the shape and the dynamic over the course of the next 6 months.
Operator: Your next question comes from Ben Bathurst of RBC.
Ben Bathurst: I have two, if I may. Firstly, returning to the subject of interest on client cash. The FCA's Dear CEO letter in December I think references platforms needed to give consideration to the cost of managing cash in any decision to how they retain interest on client cash. I wondered how could investors kind of get comfortable that you aren't overearning with respect to client interest given those sort of specific comments in that letter? And then secondly, on strategic investment costs. For the sort of £100 million that you've invested today, what's the single most obvious improvement in platform functionality that you can point to? And should we be expecting any major drops of improvement over the coming months that will drastically improve customer experience? Or are things likely to continue to be fairly gradual?
Amy Stirling: Thanks, Ben. So if I take your question on interest on client cash. So for us, cash is an integral part of the proposition for clients. You can't set up a cash-only account as part of the platform. If you want to do that, that's Active Savings, and that's the role of Active Savings to help you place your cash to earn interest. So for us, it's an integral part of the proposition. You can't get to it unless you have a fund and share account, a SIPP account. And so the way in which we think about the level of pass-through is driven by the outcome that clients are looking to achieve in the form of account that they set up. We've been very clear about that. That's a fundamental part of our philosophy and our consideration. And that remains so. And that's part of our response to the Dear CEO letter and to the platform cash questions that we all got earlier on in the year. So we've been very consistent about that. It's all, for us, part of what the client is trying to achieve, the clients' outcomes. And that's what drives our level of pass-through and our level of retention.
Dan Olley: Yes. Ben, in terms of the technology investment, so again, I mean, again, I sort of laid out in the presentation that there's 3 buckets to think about it in, but all of this is focused on clients. So whether that's focused on the UX or whether that's focused on giving our colleagues tools to give an even better experience when you talk to us directly, this whole thing is based on client. The one biggest thing, I think the way I'd describe what's been done today is it's like building a house. If you've ever been involved in a renovation or an extension or a house build, you put an inordinate amount of money into laying the foundations and putting the plumbing in and they think, God, what did I get for that? And then someone comes along and gets to do all the pretty bits. And someone did say to me, "Oh great, Dan, you now get to come along and do the interior design and the showy bits." But that's, I think, where we are. A lot of the foundations have been laid. We talked about things like the AI work bench and the data rationalization. Now we get to accelerate some of the build and the things that you'll see coming through to clients. In terms of UX improvements, no, we're not going to do a big bang. I don't do a big bang. So you will see it evolve. And success for me is when people look back after a year and go, "Wow, this feels very different." But they haven't actually felt it. And we know some of our clients say to us, "Oh, I really like your app. I really like your website." Now, I might raise an eyebrow to that and think, "My goodness, we could do so much more" but what that tells me is if you do a big bang change, that really does affect clients. So if you look at how we impacted -- implemented the web navigation, we did a beta, we did a multivariant test on it, we looked at what clients were able to use, we monitored people phoning our help desk and then we started to optimize it and roll it out. And we'll continue to take that approach. This is how all the best tech companies in the world work. Does that make sense?
Ben Bathurst: Yes, that's very good.
Operator: The next question is from Ben Williams from Hannam & Partners.
Ben Williams: A couple of questions. One of them really sort of follows on from other Ben's excellent question just now. It strikes me that in the world of diversified financial analysts, we're not tech people, how can we -- is there a chance maybe you can give us a sort of before and after so that we can have a sense of how that user experience is changing and how those conversion rates pick up? So that's sort of question one. So it's a sort of how will we know? And then the second one is thinking about the advice gap. I mean, clearly, when we look at the couple of projects that you have written off, that will be taken as a -- that's not something we're doing. And yet, clearly, one of the relative weaknesses that you highlighted is your asset mix with maybe an underweighting in the stickier SIPPs that you love. So could you just address the ways in which over time you might hope that that asset mix with maybe digital devices, et cetera, et cetera, how that will sort of shift in the direction that you would want? And then the last question, just on gross flows ex Active Savings. Because I hear what you say about gross flows being up. And I'm just not quite clear whether that's cash or whether that's equities.
Dan Olley: Ben, thank you for that. So before and after, not going to quite give you the road maps this morning. But a good example might be something like Easy Bank Transfer on the app. So we've got to get into a usability level that is -- I take Google as the gold standard, yes? If it's not as easy as Google or Amazon, then you're not doing your job. And so if you look at Easy Bank Transfer, now I don't know if you've had a chance to play with it if you're a client, but it's 3 clicks into your banking app and you're done. And I think this is why we've seen such a good intake -- uptake on it. The other thing we're doing is instrumenting our website and our app so that we can really see how clients use this. So a really simple thing on Easy Bank Transfer, the first time -- the first version had multiple versions of NatWest, for example, on it. And we saw a dropout rate there. We tweaked that. We see a much higher conversion rate. So we will -- as I said, I'm not going to give you the road maps, but we will put these features out. We will continue to enhance them and you should see a significant change, a significant evolution in both the app, hopefully an iPad version, and the website. So that will come through. In terms of data, this is where personalization comes in and this sort of links me to your question on advice, the advice gap, the advice guidance boundary that obviously, we have been part of the discussions on. Look, I think the more that we can do, that's the purpose, to help people, build their confidence, make it easy, save and invest, that's the right thing to do. And we are -- with 1.8 million clients and all of the interaction, the content we send out, the trading interaction, we have really good insights into what clients want, what they want to do. And so the more that we can use that data to drive personalization and guidance, whether that's through the digital channel or whether that's through the tools that we're giving our support teams and our advisers, then that's what we want to do. And this is really how the sort of term augmented advice has evolved. This is now the platform. The platform is something that can use personalization to build a better experience, whether you're doing it yourself through a digital channel or whether you're coming in and talking to a colleague at HL. So that's how we're trying to evolve that.
Amy Stirling: And just to build on that, Ben, don't take the impairment as a lack of enthusiasm on advice.
Dan Olley: Yes, absolutely.
Amy Stirling: Far from it. It's simply a technology decision.
Dan Olley: Yes. Yes, that was a tech stack call, so.
Amy Stirling: And then your last question about flows excluding Active Savings. So what we've seen in the quarter, similar to the quarter before, it is predominantly being driven by Active Savings because of the level of interest in cash. Obviously, we'd expect that to shift as we go through the second half and we see tax year-end and the beginning of the new tax year. But a very consistent profile in the underlying flows in the second quarter.
Dan Olley: And just to build there, one more point on your middle question. I mean, if you have a little look at where the technology leadership team have come from, I think that would give you a good indication of what we're setting out to do. So maybe that would be helpful.
Operator: The next question comes from Rahim Karim from Investec.
Rahim Karim: Two questions for me, if I may. Acknowledge the comments around SIPPs. I mean, I guess, a really easy way -- or an easier way to do that might be to do workplace pensions and build out the relationships you have there. Could you perhaps give us an update on how that is panning out and how that's evolving and what that might mean for margins as well? Because I assume there's a discount given in that. And then the second question was just to go back to the kind of Slide 11 and the NIM considerations. Obviously, I hear what you're saying around kind of 180 to 200 basis points when rates are above 3%. Clearly, the implied retention is more than 50%, which is at odds to the 50% that the FCA have talked about in the Dear CEO letter. I kind of understand that they might not be apples-to-apples, but just wanted to get a sense of whether you're comfortable with being above that 50% level given everything that we're hearing and seeing.
Dan Olley: Thank you, Rahim. So if I take workplace first. Yes, I mean, workplace is a really nice little part of the business. It's why I've been quite intrigued by it, as I've come in. Because as you rightly say, this is a great channel for us to build our SIPP channel. We are seeing growth there and we're working with Stephen and his team to say, okay, what more can we do in this space? So I think there is a huge opportunity. We provide a good service. The clients we have are very positive about it. So I think you're right. I think that's a key part of the business that you'll see us starting to focus on, and watch this space for August.
Amy Stirling: Rahim, thanks for your questions. So yes, I'm not sure that there's more to say. We are comfortable with our guidance. We're reiterating our guidance this morning. It's very much in line with our policy, and our policy considers what we do as rates increase, just as it does what we do as rates decrease. So really nothing more to say on that.
Operator: The next question comes from Haley Tam of UBS.
Haley Tam: I have two, please, one on cash and the second one on asset retention. So with client cash, thank you very much for giving us the guide path down to £11.5 billion of platform cash by the end of June '24. Could you tell us, with sort of reduced frictionality and in a higher interest rate environment, should we consider there's a structural decline that should continue? And is there any reason why that couldn't be lower than 8% of total assets ongoing? And then the second question on asset retention. I hear very clearly. Thank you for all the update on the strategy and that you're not giving us new medium-term targets yet. But given asset retention was now 89% versus 93% 5 years ago, I just wondered, given you seem to be halfway through the plans and lots of the light clients drive both initiatives already taken, should we anticipate stabilization of that retention rate by the end of June '25 for the sake of argument? Or is that something we should really be waiting for the medium-term targets in August to hear about?
Dan Olley: Haley, lovely to hear from you. Let me let Amy take the first bit, and then I'll come on to asset retention, if that's okay.
Amy Stirling: Haley, on cash, so yes, as you say, it is all about different mix. And I think we set out on Slide 19 of the presentation how different you can see the level of withdrawals from a cash point of view is between our SIPP mix, our savings mix and fund and share. So there will be an actual floor to this, at which point, all we're seeing is frictional cash remaining in accounts. And so we'd like to think -- so we sort of -- if you look at our average cash on the platform and our closing cash in Q2, they're the same. So we are seeing a difference in terms of the trend. So definitely seen a slowdown from the rate of deleveraging that we saw over the summer. So we are still very much expecting there to be a floor. And theoretically, could we go below 8%? I think that's your question. I guess, yes, theoretically. The 8% that we gave when we talked in the summer was a reference to our historic profile. So that's the lowest that we have seen it in all of our records. Clearly, that world is a different place. So we're not expecting to see a continued structural decline in our cash. We will hit a floor and we'd like to think that we will see that as we start to see activity build back up through tax year-end in the second half of the year.
Dan Olley: And, Amy, just to build on the cash on platform point as well. One of the things that I've looked into is, well, where does it comes from? It's actually -- it's very frothy. I mean, it's not that people are sitting there generally going, "Oh, this is where I'm going to put my cash." And we actively encourage them to put it in Active Savings if that is what they're thinking about. It's the sort of transactional bids, people coming out of certain stocks, leaving their cash there for a little bit. With 1.8 million clients, this averages across. You've just got this constant ins and outs, which give you this overall sort of balance across the platform. So that's how I would encourage us to think about it, if that's helpful. In terms of asset retention, so if you think -- before I sort of get into the what are we doing, look, we've been very clear in the presentation that these have been trending down over time. And we're acknowledging that and our goal is to do something about it. But let's get into a little bit of maths before I do. So just basic maths. First, the Active Savings, as I said in the presentation, this is a more transactional product. And what's been really interesting, as we've seen it grow, the level of churn in Active Savings as a percentage of the total assets has been pretty consistent. So it seems to be that -- and one of the team that we've brought in leading Active Savings is actually from Flagstone. And we know that it's a very sort of consistent market trend. So when you just do the maths, now that Active Savings has become a more material part of our total assets with £9.1 billion, it just puts a drag on your overall assets. It's just the way the maths comes through. And so if you backed out Active Savings just to get a core platform number, you would move from an asset retention of 89.2% to 90.7%. It's just maths. So that's one thing to bear in mind. If I just bring into client retention as well, I mean, we actually measure client retention on people with more than £100 on the platform, it's how we've always done it. We know a lot of our competitors measure it with £1 on the platform. In fact, I'm trying to close an account with a competitor at the moment and it's incredibly hard to close the account out even though I've transferred everything out. But what we're finding is that would move the retention rate from 91.6% to 95.2% because it's even higher if they've then got an Active Savings account. So while we aren't happy with where our retention rates are, we want to drive them up, that's our goal, there are some basic maths that are driving them down. If I then go into what's driving this. So a similar conversation to flows, obviously. So part of it is about the digital experience, how we extend and reset our service, some of the things that we've done through ourselves and we can deal with that. Part of it is our product mix as we've seen. So having a higher volume of our assets than some of our competitors in things like fund and share and ISA rather than the SIPP. So that trends a bit of it. So that's how we're thinking about it. There's obvious work to do. We understand it. We're seeing strong inflows. We get these retention rates up, you can see how this becomes a really exciting proposition.
Haley Tam: Sorry, I missed some of these numbers when you're running through the maths, Dan. Just to confirm, the asset retention rate would be a lot higher if we excluded Active Savings. That's what you're saying to me. So I guess, as long as that remains a big part of the growth, that's going to be a drag. Is that the right way to think about it? And how do I square that with, I guess, the 96% retention rate amongst like your savings clients you put out on Slide 25, to make sure I'm thinking about apples and pears and whatever?
Dan Olley: Yes. So on the -- and James can follow up on these numbers. But on the asset retention, you go from 89.2%, which is what we're reporting overall, to 90.7% if you back out Active Savings, so 1.5% up. I wouldn't call it a drag. So I think it's just the maths. In the round, as Active Savings gets bigger, will that bring overall asset or will that impact overall asset retention because it's a more frothy product? Yes, it will. But I'm not sure that's a bad thing because Active Savings will be growing. So not that. On the 96% you quote, that's client retention, the impact on client retention if you've got Active Savings plus another account. So you go from our 91.6%, up to 96% if you've got Active Saving and another account.
Operator: The next question comes from Gregory Simpson of BNP Paribas
Gregory Simpson: Can you hear me now?
Operator: Great. Yes, we can.
Gregory Simpson: Perfect. Sorry. Yes, a few questions on my side. The first is on Active Savings. You mentioned improving commercial terms with banks. Should we expect that 20 basis points revenue margin to be able to move upwards over time? And also just to check, the interoperability with Vantage and Active Savings, is that on the cash ISA now? Or is it still just you can move between the fund and share and Active Savings and then your kind of plans around Active Savings and SIPPs? That would be the first question. Second question would be there seem to be some talk about a potential new ISA launch, a British ISA. Is there anything you're hearing on this? Or anything you're kind of making the case for in terms of increasing the retail ownership of U.K. equities? And then finally, on net interest income. If I kind of triangulate that, your net interest margin of 2.2% and comment you're retaining about 40% of it. It implies you're earning maybe 5.3% gross on client cash in the period, so around the base rate. Is that kind of the level you're still able to earn today when placing new deposits? Or is there any sign that that's kind of starting to roll overall 4% now?
Dan Olley: Thank you, Gregory. Right. Look, let me take the first three, and then I'll hand over to Amy. So on Active Savings, as you heard, we are focusing on making sure that the proposition is the right one for clients. We're adding banks. We've added the ISA and the Cash ISA. In terms of beyond 20 basis points, not sharing that -- those plans today. But you can see how the proposition is becoming increasingly compelling, which links to your interoperability point. I mean, we have to see this as part of the platform. So we are actively working to bring them more closely together. And as I've talked about, these sort of make it easy. Frictionless journeys, you'll see us investing in those, and you will see those come over the coming weeks and months. So absolutely on the radar. You can't do it specifically, the example you said today, but it's coming. In terms of the British ISA, it's something we're involved in the discussions on, we're curious about. The concern is a little around complexity, how is this really going to work? And it comes back to us wanting to get people investing and not making it complex, not making them have to think, "Oh, well, if I do this, I get that and do that and get this." How do we keep making it easy? So we're involved in the discussions, but we're not sure that this is along the lines of the make-it-easy piece. What we are very supportive of is this idea of a lifetime pension pot. We think that is something that again will help people save and invest and really take ownership of their pension. If we think about a SIPP, it's really a savings pot for your retirement. And so we're pushing on that. And again, this links to why we think the SIPP and our place in providing SIPPs is so important. Amy, NIM?
Amy Stirling: Yes. So thanks, Gregory. So I'm not sure I've got more to say on NIM in that we give you a very clear outline on the level of revenue that we generate on cash. We give you the cash balance. We've given you the NIM that we've reported in the half year and we've talked about our level of pass-through. So if there's anything more detail that you wanted to pick up off-line, that's fine. But I think we're pretty clear in what we're earning and how that translates into our revenue.
Operator: The next question comes from Andrew Lower of Citigroup.
Andrew Lowe: Dan, just a quick clarification just on the pricing. So as you've reviewed the business and the value proposition, have you finished your review on the pricing? Or is that to come later? And therefore, should we expect sort of meaningful changes? Or it is just sort of marginal changes as you go forward as sort of any business would make over time? And the second question is, what gives you confidence that pricing benefits like best execution, fund discounts will really resonate with clients? And do you not believe that you need to perhaps simplify your pricing structure to sort of demonstrate better value to customers?
Dan Olley: Great questions, Andrew. Thank you. So look, on the review of pricing, what I've tried to lay out is this is continuous. Because what we're putting now front and center of the strategy is a stated intent that we will work hard to leverage economies of scale and drive efficiencies and then share that back with clients. And as we look for opportunities to share that, we listen to our clients, we talk to our clients a lot. We understand the market. We will put it in the places that matter most to them. I mean, just today, we've talked about functionality, proposition expansion, price. So we'll make sure that we are putting it in the places that matter most for them. And this is continuous. This won't stop. And if we do move it, that won't be it. We'll keep looking for what's the most important thing for our clients. That's our flywheel, yes? Growth, take some of that growth, share it back with clients, better proposition, grow and around you go. So that's really what I'm trying to articulate today. In terms of resonating with clients, for sure, we have not been good enough at explaining our proposition to our clients. I think some of -- a lot of our existing clients understand it, but does the market? I think we need to do a better job of that and we are focused on that. And we've also allowed our competitors, to be frank, to be quite a front foot on bashing us around the head and we need to address that. So we need to talk about our total value proposition, what it means for clients. We wouldn't be attracting the level of clients that we are if that wasn't at least partially understood. So work for us to do for sure, but I think it's -- I think we're in a good place.
Andrew Lowe: Just a quick follow-up, if I could. Do you think it's sort of fair that the sort of platform fund charges are perhaps in greater focus than the fund discounts for most of your customers?
Dan Olley: I wouldn't use the word fair. I think we have to tell a better job, a story about the total value we bring our clients. And so I think that's on us. And a theme of today is just us upping our game in a number of areas to really deliver or show the value and increase the value we bring to clients. So watch this space.
Operator: We have no further questions, so I'll hand back to the management team for closing remarks.
Dan Olley: Just like to thank everyone for giving us your time, spending the time watching our presentation and the great questions. And look forward to speaking to you all again soon.